Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:05 Good afternoon, ladies and gentlemen, and welcome to the Deutsche Börse AG Analyst and Investor Conference Call regarding the Q4 and Full-Year 2021 results. At this time, all participants have been placed on a listen-only mode. And the floor will be opened for questions following the presentation. 00:22 Let me now turn the floor over to Mr. Jan Strecker.
Jan Strecker: 00:27 Welcome, ladies and gentlemen and thank you for joining us today to go through our fourth quarter and full-year preliminary 2021 results. With me are Theodor Weimer, Chief Executive Officer; and Gregor Pottmeyer, Chief Financial Officer. Theodor and Gregor will take you through the presentation today and afterwards, we will be happy to take your questions. 0:49 The presentation materials for this call has been sent out via email and can also be downloaded from the Investor Relations section of our website. As usual, the conference call will be recorded and is available for replay afterwards. 01:04 Let me now hand over to you, Theodor.
Theodor Weimer: 01:06 Thank you, Jan. Welcome, ladies and gentlemen. Let me start today's call with an overview of our performance last year. Afterwards, Gregor will be presenting the financial results in much greater detail. Finally, I will conclude with an update on strategy implementation and the outlook for the year 2022. 01:29 Despite strong cyclical headwinds, we achieved good overall results with 9% net revenue and EBITDA growth. More than half of our net revenue already resulted from recurring revenues, mostly from our data and analytics business. Secular net revenue growth net revenue growth at 6% was fully in-line with our guidance. This was particularly driven by strong performance of our funds business, commodities, and ISS. 02:06 M&A contributed another 7% net revenue growth. This was more than originally expected because we succeeded in accelerating the closing of the ISS acquisition. The strong cyclical headwinds resulting from high comparables in 2020 and lower vola and interest rates in 2021 resulted in a decline of cyclical net revenues by 4%. 02:37 To [count] [ph] the cyclical headwinds, we not only promoted recuring revenues and [cyclical] [ph], but also managed organic operating costs very prudently. As a result, we kept this cost stable against 2020. 02:54 As you can see on Slide 2 please, our results are fully in-line with our guidance for 2021 of €3.5 billion, net revenue and €2.0 billion EBITDA. In addition, we are also in-line with the expected growth trajectory until 2023 when looking at the average growth rate since 2019. 03:22 Secular and revenue growth and the M&A contribution is fully in-line with our expectations, while cyclicality so far has been a small headwinds, if one looks at a period since 2019. This is mainly due to the lower net interest income at Clearstream. However, we are expecting the NII to recover soon as a result of interest rate increases. 03:53 In 2021, we made good progress on our M&A strategy. As you can see on Slide 3 of the presentation this included, first, the acquisition of the remaining stake in fund center from UBS. With the trends towards outsourcing in the fund industry, the business is very well on track to deliver continued strong organic growth. 04:18 Second, on IFS, the initial guidance has proven to be conservative with strong organic growth prospects from the trend towards ESG and [bought on] [ph] M&A, we are now targeting double-digit net revenue growth as opposed to the initial guidance of more than 5% only. 04:40 As part of the M&A strategy ISS completed the acquisition of Discovery Data in December 2021, a globally recognized trusted provider of data and analytics to the financial service industry. Third, we completed the acquisition of a maturity stake in crypto finance in December as well. 05:02 The acquisition laid the foundation for building an independent, transparent, and highly scalable regulated ecosystem for digital assets, but besides acquired businesses, we have also optimized our portfolio by agreeing to divest Clearstream’s 50% stake in REGIS-TR. This transaction is expected to close in the first quarter 2022 and with result in proceeds of around €50 million. 05:37 In terms of further M&A opportunities, the high valuation environment we are currently in is certainly challenging, but we continue to see concrete opportunities, mainly in pre-trading and funds business where our requirements of a strong strategic fit, good synergy potential, reasonable financials, and high closing certainty are met. 06:02 We believe that these requirements are essential for creating sustainable value in the interest of our shareholders. 06:10 With that, let me hand over to you, Gregor.
Gregor Pottmeyer : 06:14 Thank you, Theodor ad also welcome from my side. On Page 4, we show the development of our preliminary financials in 2021. Since part of our secular growth was neutralized by the cyclical headwinds, the main driver for the 9% net revenue growth mostly ISS acquisition. 06:33 Since we kept the organic cost completely flat, we saw good scalability in the organic EBITDA. In addition, net profit and EPS benefited from a better financial result, which was partly driven by one-off effect. 06:53 The EBITDA in 2021 included an increase of [indiscernible] from financial investments to €85 million. This was driven by our minority investment portfolio shown on Slide 5. Most of the investments will continue to be booked in our equity and thus has hidden reserves. But we started to selectively adapt a fair value approach last year. This now applies to our Clarity AI, 360X and major investments. 07:27 The major contributed to the result from financial investments for the stake in Clarity AI was around €45 million. This was due to financing around involving Blackhawk and Softbank. In addition, our [stake in traded] [ph] contributed around €30 million because of a continued favorable business development in German retail [indiscernible]. 07:56 On Slide 6, we show the detailed financials in the fourth quarter. While cyclicality was still a minor headwind, in particular for Eurex, we saw strong secular growth and the high M&A contribution. Operating costs growth was again mainly driven by consolidation effects. 08:17 EBITDA includes the result from financial investments of €16 million, which was a regular [indiscernible] contributions and mark to market effects on our venture portfolio capital fund investments. 08:32 Depreciation amounted to €88 million and includes effect of around €26 million related to purchase price allocation of acquired assets in accordance with IFRS. In addition, there were one-off effect of around €12 million, due to some smaller year-end software impairments. On this basis, cash EPS amounted to €1.64, an increase of 25%. 09:07 I'm now turning to the quarterly results of the segments, starting with Eurex on Page 7. While there was a spike of volatility in December, the average volatility measured by restocks was 17% below the previous year. This explains the decline in index derivatives. 09:31 The decline was partly offset by double-digit growth in fixed income derivatives, which benefited from more speculation on monetary policies and the interest rate development. With cyclical headwinds now slowly turning into tailwinds, we expect secular growth through product innovation to become much more visible at Eurex this year. 09:59 Our commodity business EX, shown on Page 8, achieved a record quarter for two reasons. First, we saw continued secular growth through market share expansion in light of the trend to renewables. Second, energy prices were extremely volatile and reached record leverage in the fourth quarter. This resulted in a substantial increase of client need for short-term trading and hedging activities. 10:32 Aside from trading volumes, net revenue growth was also driven by the increase of merchant fees on collaterals as in the EX clearing house. This is shown in the other line item of the business. 10:48 Let me now turn to Page 9 in the FX business. The sentiment in FX market was improving throughout the fourth quarter. At the same time, spot market volatility increased. Main driver for volume growth was positive development in FX forward and FX swaps. This was a result of the onboarding of new buy-side clients in the U.S. and Europe. And there are many more in the pipeline for the coming quarters. 11:19 Next, I'm turning to Page 10 and our cash market Xetra. Here, net revenue declined. This was due to a gain from the sale of regulatory reporting up in the fourth quarter 2020. Operationally, however, the cash market business saw a small improvement despite lower market volatility. 11:42 Since mid-December, the net revenue of crypto finance has been included in the other line item of [Xetra segment] [ph]. Our post-rating segment Clearstream on Slide 11 achieved solid double-digit growth in the fourth quarter. Due to an increase of client cash balances, the fourth quarter was the first quarter since Q3 2019 with a year-over-year increase of net interest income. 12:15 In custody, we saw solid double-digit growth. While equity market valuation has helped to achieve this, the main driver was growth in a month of bonds outstanding, which accounts from more than 75% of custody assets. 12:34 The Investment Fund Services segment, which you will find on Page 12, continued excellent performance in the fourth quarter. The numbers are now like for like, since the Fund Centre acquisition was closed at the beginning of the fourth quarter 2020. Growth was based on the continued onboarding of new clients and portfolios, both in custody and in distribution. 13:00 The synergies between the two offerings are now starting to play out nicely and we expect growth rate above our initial guidance to persist. In addition, we see further inorganic opportunities to increase both the scale and scope of the offering. 13:21 Slide 13 shows the Contigo segment, which saw growth in three out of four business lines. Analytics benefited from new client contracts and as a result from additional funding time revenues. In the ETF license business, we saw an increase of the assets under management, mainly due to market valuations. The exchange license business increased despite declining number of contract rather due to repricing measures. 13:56 On Slide 14, we show the institutional shareholder services segment, which again outperformed our expectations with even higher growth rate compared to previous quarters. Growth continued to be driven by the strong performance of corporate solutions and ESG analytics, but the well-established governance solutions, business auto showed good close leverage. 14:25 The non-ESG business benefited from M&A transactions, including the acquisition of Rainmaker in Australia and the Discovery Data acquisition in the U.S. This brings me to our dividend proposal for 2021 on Page 15. For 2021, the proposal executive bought combines a reduction of the payout ratio to 49% with an increase of the dividend per share by 7% to [€3.20] [ph]. 14:59 We are planning to reinvest the remaining recurring free cash into the business to support our M&A strategy and thus further improve our secular and recurring close components. 15:15 With this let me hand back to you Theodor.
Theodor Weimer: 15:18 Thank you, Gregor. Ladies and gentlemen, let me conclude today's call by giving you an update on strategy implementation and our outlook for 2022. Despite the challenges from the COVID-19 pandemic and cyclical headwinds, we so far achieved strong secular net revenue growth with a compound annual growth rate of 6% since 2019. 15:44 We have successfully executed and integrated M&A initiatives since 2019 and have over delivered on our M&A target so far. We have reached already two-thirds of our M&A targets within half the time already since over the course of Compass 2023. This puts up in a comfortable position with regard to M&A execution, this and next year. 16:13 One key achievement of our strategy was the strengthening of our data and analytics proposition and position offers the top three global ESG data provider. As I said at the beginning, this has resulted in the increase of recurring revenues to a level of [indiscernible] 55%. This is among the highest levels in our industry, and we are working on increasing this level further. 16:42 We were also successful in the further expansion into new asset classes, for instance with crypto finance, and we have increased investments in the state-of-the-art technology, like next generation digital post-trade platform D7 for Clearstream. 16:59 Last, but not least, we are continuously monitoring our portfolio and are optimizing it wherever necessarily if possible. Therefore, we divested non-strategic assets like regulatory reporting app or Regis TR, while we have increased the funding of our fintech minority investment portfolio. 17:22 Our key focus continues to be the execution of our strategy to consistently deliver on our secular growth and M&A targets in-line with our 10% growth formula. Since we had cyclical headwinds so far, we now expect to benefit from the emergence of some tailwinds, mainly relating to the net interest rate environment. 17:50 To reduce the complexity of our equity story, to communicate it more effectively and to highlight the growth areas of the group, we decided to refine our segment reporting, which I will introduce in a minute. 18:06 ESG has become more important for us than we initially thought when formulating our strategy, but we greatly responded and are now in good position to support the market in the transition towards sustainable economies, and we will also continue to improve our corporate ESG footprint. 18:29 With a new setup for Clearstream, the core business security services and the fund service business, will start to become more independent entities. We decided this to reflect differences of the service offering, the client focus as well as the regulatory framework. It will also increase our strategic flexibility and optionality for instance for partnerships or M&A in both businesses. 19:02 On Slide 18, we’ll give you an overview of the new segment reporting we are introducing with the first quarter results in April. We will be simplifying our reporting structure by reducing the number of segments from 8 to 4 and applying a more product driven approach rather than the brand names we use today. 19:25 The new segments will be, first, data and analytics, which comprises Contigo and ISS. Second, trading and clearing, which is Eurex EEX, Xetra and 360T. Third, fund services, which is Clearstream’s investment fund service business and for security services, which is the core equity and fixed income custody and settlement business of Clearstream. 19:57 We will also simplify the net revenue line items, but will continue to provide sufficient transparency to enable you to achieve a high modeling accuracy. Our increased focus on ESG is reflected in our sustainability framework and our KPI dashboard that you can see on Page 19. 20:20 Our sustainability framework comprises four angles. First, we will support the market, the increase in transparency through advice and services on ESG reporting. Second, we provide solutions for market participants to direct it to the ESG or climate issues. Third, through our own ESG conduct and reporting [will repay example] [ph] and encourage others. 20:50 Fourth, with specific KPIs, we measure our impact to constantly move our own ESG strategy and performance, and as you can see on the slide, we already achieved most of our ambitious ESG targets or are a very good track to achieve them. 21:10 Let me come to the outlook. The last page of today's presentation shows our guidance for 2022 in the context of our [mid-term plan] [ph] . This year, we expect net revenues of around €3.8 billion and EBITDA of around €2.2 billion. 21:31 The main driver of those targets is continued secular net revenue growth of 5% or more. We have also included the contribution from the M&A transactions, we already closed last year in our guidance, which mainly concerns ISS for the first two months of the year. 21:53 In addition, we expect cyclicality to turn into a tailwind this year, but the assumptions underlying our guidance are very prudent, all-in-all let me state, I think our guidance for the year 2022 is rather on the conservative side. This concludes our presentation, and we are now looking-forward to our questions.
Operator: 22:17 [Operator Instructions] And the first question comes from Kyle Voigt, KBW. Please go with your question.
Kyle Voigt: 22:51 Hi. Thank you for taking my question. I guess my one question would just be on the 3.8 billion net revenue guidance for 2022. That's mainly driven by that 5% secular growth along with consolidation effects. So, is it fair to think you don't assume many rate hikes for the U.S. embedded is into that guidance, which would have caused a cyclical tailwind? And also just wondering if you could walk through the dynamics again as to the benefits from higher short-term rates when they come through as I think maybe the benefit from the first hike or so might be needed due to the fee structure in Clearstream? So, any more granularity there would be helpful? Thank you.
Gregor Pottmeyer: 23:38 Yeah. Thanks, Kyle for questions so far, giving some clarification and transparency on our assumptions with regard to cyclicality. Obviously, as already stated by Theodor, our approach is conservative here. And so far, the market expectation are currently higher than what is included in our forecast. So, market expectation for U.S. is some at least 5% – 5x rate increases this year. And even for [ECB] [ph] is a discussion that there is one hike. 24:18 You know, I think there's the sensitivity in our model. So, first the direct impact on our customer cash balances at Clearstream with regard to NII is still unchanged, €15 billion overall customer cash balances as 50% is U.S. dollar denominated. So, it's 7.5 billion, an increase of 1% translating to €75 million for U.S. product. But I want to remind all of us, this effect even if there would be [indiscernible] increases, we won't see the full-year impact this year as it will happen over the year 2022., with the full-year impact we will then see in 2023. 25:04 And also to remind all of us that the first hike for the first 25% we will most probably swap [indiscernible] fee of 30 basis points, but we already asked customers. So, basically the first half will be very neutral, but that is just the direct impact on the NII. Obviously, with the rate increase, we have also a big impact on our fixed income products. And just to remind all of us for the first seven days in February, so after ECB [indiscernible] some concerns afterwards in the press conference with regard to the inflationary development, so our fixed income product increased 60% to 70% already in the last seven days. 25:53 And I don't want to guide you that to assume, but the same will happen for the rest of the year, but obviously, that kind of magnitude is not included in our cadence and assumptions for this year. So, again overall that's prudent, that’s conservative and if the tailwind is higher then obviously we will benefit from that.
Kyle Voigt: 26:18 Great. Thank you, Gregor.
Operator: 26:21 The next question comes from Arnaud Giblat, BNP Exane. Please go ahead with your question.
Arnaud Giblat: 26:29 Good afternoon. My question is on EX, could you talk about the evolution there in terms of which countries are progressing well, the share of volumes on exchange versus or to see how Japan is coming along, just I want to get a broad sense of the social growth behind the EX rather than the –I mean, as you split that out versus the impact we've seen from just from higher volatility in energy prices? Thanks.
Gregor Pottmeyer: 27:03 Yeah, sure. Arnaud, thanks for that question. The obviously outstanding performance in Q4 was a revenue increase of 30%. So, the underlying logic is behind us that we all have seen the big increase in energy prices in gas and power, obviously doubled, it tripled even sometimes right so that was one. The other element was increased market volatility. So that was the second thing. And so, here you can see, and I think so the margin we calculated as a good indicator of what happened here, so I entered towards it. 27:45 In peak times it was more than €50 billion margin fee. We calculated in our clearing house at ECC, so much, much higher number than you usually in the range of €5 billion to €10 billion. So, obviously, here you see the highest spike. The good thing is that we are able to deliver the markets that at any point of time there was priced discovery, there was the chance for settlement out of the volume. 28:14 So, that I think we made a great, great job. January, basically is the same duration, unchanged, compared to Q4. And but we also see an increased market share as in that kind of development. So, the market share more than 50%. So, overall it was a full-year in 2021. It was 46% in the European power derivatives markets, also an increase because usually we are in the range of 40%. 28:47 Here, you see that the OTC market, the [indiscernible] market is less used in that kind of difficult times. And the trend to renew the energies will continue to develop. On the other hand side, we see some political developments, but we obviously do not like if politicians interfere into these kind of markets. 29:11 We have not seen that in Germany or in Austria, but we have seen it in Italy and Spain for instance, so that we have to monitor. Overall, I think that's a good chance that the trend to renewable will continue to happen and so that we have continually have a chance to call double-digit in that business.
Arnaud Giblat: 29:34 Thanks for [indiscernible] Gregor. If you will allow me just a very, very quick follow-up. Could you tell us what the earnings contribution from Regis TR IS?
Gregor Pottmeyer: 29:46 So from Regis TR, we said this transaction will happen in end of Q1, And it will be a positive impact of plus €50 million so [indiscernible] €50 million, but you have also take if you want to model that we lose some roughly €25 million when we have sold that business because today we consolidated the net impact for this year is roughly €25 million.
Arnaud Giblat: 30:14 Thanks.
Operator: 30:17 The next question comes from Michael Werner, UBS. Please go ahead.
Michael Werner: 30:22 Thank you for the presentation. Regarding ISS, we certainly saw a stronger revenues, I think it was about 14% or so in Q4 – or 19%, excuse me. The – I know your plan at the time of acquisition was to kind of cross sell some of ISS products into Europe. I was just wondering, how that is progressing and whether any of that incremental growth that we saw in Q4 was tied to that or whether there's potentially more opportunities to come? Thank you.
Gregor Pottmeyer: 30:59 The easy and short answer is, it’s not part of the Q4 development and yes, it has potential upside for us. So, just as commenting a little bit on the ISS development, yes, in indeed net revenue you call on a like-for-like basis by 19% and that shows you that there’s really a very positive development. 31:20 And [indiscernible] you see such a higher growth rate than we originally thought. So, there is obviously, first of all that very positive spot market development. So, if the market development overall is more positive than we originally expected. Second, there a much better product mix today. So, our focus is on ESG data analytics for today at 50 million revenue business and there the growth rate is closer to 25% to 30%. 31:50 Than in our corporate solution business, so there's also double-digit growth and also this businesses has strongly increased, and even the proxy voting business, traditionally closer to 5% is even a higher single digit and growth rate. So, the mix is obviously different and we can tell you that on a continuous basis, we do M&A. These are smaller transaction just to remind all of us, discovery data in the range of 20 million or other smaller assets is even from 5 million. 32:24 So, this has to increase our capabilities specifically in the ESG area. And so, that gives us confidence that ISS will continue to grow double-digit already this year.
Michael Werner: 32:38 Thank you, Gregor. And if you don't mind, just as a quick follow-up on that. As you look out to 2022, is it part of the plan to start pushing potentially more of these products and services into Europe? And has – what has been the appetite for institutions in Europe for those products and services? Thank you.
Gregor Pottmeyer: 33:01 Yes, obviously, that's part of the strategy and if you roll it out and [indiscernible] really when we talk to banks or to asset managers, the feedback is, ISS has really great quality or great ESG rating for the corporate, for the customers, but unfortunately, today, they do not cover the full scope. 33:20 So, [indiscernible] but we have a better quality. That's slightly higher another [indiscernible] and hopefully to define the gold standard for the further, with regard to ESG ratings at least that our targeted levels and the faster we are able to deliver on that side than we can also achieve our good performance in U.S., in Europe, and also in Asia because we think that that's really key. 33:56 And with regards to the cross-selling, yes, the more we learn about ISS, the more we see opportunities to do some cross-selling. So, obviously, the combination this Contigo and creating new ESG index products based on our today's index product I think is a big opportunity. Even with regard to our fund service business, right, ESG fund is another angle where we see opportunity and also when I look at the Clearstream and scope of task of solutions fee, we offer to our customers, so we can – there’s a proxy vote and we have additional topics we can offer here. 34:39 So, yes, so 2021 was the year where we started to get to know and 2022 will be the year where we start to harvest across the whole value chain of Deutsche Börse.
Michael Werner: 34:51 Thanks for the color Gregor. I really appreciate it.
Operator: 34:55 The next question comes from Benjamin Goy, Deutsche Bank. Please go ahead with your question.
Benjamin Goy: 35:01 Yes, hi good afternoon. One question on the split of the Clearstream assets into securities and fund services. Will this also be done by April and the question is, should we then expect that you're ready for more for bigger deals, M&A deals in that part now or rather in other areas or your focus areas for M&A? Thank you.
Gregor Pottmeyer: 35:26 Yes. Benjamin thanks for the question. And obviously for you, as following Deutsche Börse it's not so spectacularly new because we already reported about these two segments. We showed you the [indiscernible] for Investment Fund Services and for P&L for Clearstream Services and we will continue to do so. Just like we want to say to you is that, we make this business, and we see in this business the different scope, different customers, different processes, so and obviously different opportunities. 36:04 So, investments and services is going organically in the range of 25% to 30%, and obviously with the IPO of all funds there, there’s now good benchmark available, and that's why we said, look, let's make these businesses more independent though strengthen these business, and obviously, if you have [indiscernible] that task, then there are additional opportunities from M&A perspective from a partnering perspective in all of these two areas. So, it basically increased the optionality from a Deutsche Börse perspective.
Benjamin Goy: 36:47 Clearly understood. Maybe in that context, can you remind us of the net-debt EBITDA at year-end level?
Gregor Pottmeyer: 36:55 Net-debt EBITDA, okay. So, in year-end 2021 that was of 2.0. So, it was above our threshold. We agreed this with S&P, so that level is 1.75, so we are above that threshold. And, but maybe you have seen interest, just recently in January, so S&P revenue our rating again, and they are fully aware that we are above this threshold, but they confirmed our AA rating and the stable outlook. 37:34 And so that's obviously a strong part of S&P that even did not change even if we missed that threshold, but the expectation would be from the rating agency that you come back within that threshold. And there are good opportunities, but it basically depends on our M&A path. 38:00 Where do we end, and obviously we are all aware that we create cash flow every year of €1.5 billion to our cash position will – very hard pick-up again and give us additional opportunities within M&A.
Benjamin Goy: 38:17 Thank you very much.
Operator: 38:20 And the next question comes from Johannes Thormann, HSBC. Please go ahead with your question.
Johannes Thormann: 38:26 Good afternoon everybody. [Indiscernible] First of all, question on the impact of Brexit on your business, if you could elaborate on the – probably a bit more on statements from this morning that you're somewhat disappointed about the recent time and given by the OTC clearing until 2025, what was your feedback from you users in my impressions just driven by the banks? So, if you could share your views and probably also in terms of the well reminded thing that you talked some investors they go that the [indiscernible] business will benefit from Brexit and we haven't seen much [indiscernible] yet, is it still potentially coming or can we skip those plans? And then just on your net cash position, is there any fixed limit where you would switch to a share buyback again? Thank you.
Gregor Pottmeyer: 39:27 Yeah. So, starting with the second question. No, there are no plans for doing a share buyback. First question, impact Brexit and [indiscernible], yes, obviously, we were not happy with the decision of the EU commission to postpone that by another three year, but there's a clear understanding of the EU commission that they really prefer and prioritize if the Euro business will be executed in the Europe zone. I think that’s a very clear understanding of ECP of European Commission and also ESMA. That will happen. 40:11 So, with regard to the prolongation, obviously, it will take a little bit more time, no doubt about that, but currently, there is a market consultation process. This is also market participants, and therefore there a discussion how to incentivize that direction of operating your business in the EU. And it's a clear understanding that this process will continue to happen. 40:40 And also end of January, we increased our market share from 20% to 22%, yes, it will not jump immediately to 50% or whatever above that, but we expect that it will continue to grow and our expectation is that our revenues we make out of that European business was in 2021, €57 million and also well in our range of €50 million to €70 million, what we guided, continuously increased double-digit every year. 41:13 So that's our clear expectation and that is also supported from a EU perspective.
Theodor Weimer: 41:20 And if I may add, Johannes from my side Theodor speaking, the following I had a series of conversations with EU Commission and also with EU Commission [indiscernible] and [she] [ph] clearly stated by the way we went publicly, right. They are expecting a EU Commission that we need to set-up and they would transform CDP capacities. 41:48 ESMA, ESMA have clearly stated, that they see it critical that to CDP capacity in Great Britain is systemic, right? Everybody understands this and therefore all the topics are out and we are discussing with them now how – what needs to be taken, in order ensure that we get the transformation done until mid of the year 2025, right. 42:13 That is basically the key point, and everybody is extremely appreciative in Europe and on EU commercial level that we created a market solution not waiting for regulatory, right, a regulatory ruling, right. So that we would be moved at. I think it's important to say, right, and we are talking about pension fund extensions. We are talking with them about significant other accounts and so forth. 42:41 So, we are really pretty much in detail with them, and they understand. The key point is not, it's not whether we move in the 2025 to EU 2027, the key point is how we ensure it's going to happen.
Johannes Thormann: 43:01 Okay. Thank you.
Operator: 43:06 And the next question comes from Ian White, Autonomous Research. Please go ahead with your question.
Ian White: 43:12 Hi, good afternoon. Thanks for the presentation. I have one on Eurex please, and in particular, the equity index derivatives trading volumes. I'd just be interested in getting your latest thoughts on the development there, conscious you sort of given us some color on the year-over-year sort of dynamics Q4 2021 versus 2020. But I guess, sort of looking at it, is that these volumes are still sort of quite subdued versus where we were, sort of pre-pandemic FY 2019 levels, even though we've had volatility meaningfully above the FY 2019 level both in Q4 2021 and also as we're running in the first quarter of 2022 as well. So, is there anything else going on there and that my explains to why these volumes are still quite subdued relative to the pre-pandemic trend? And kind of the other side of that is there any reason to think the equity index volumes might return to the pre-pandemic trend anytime soon, please? Thank you.
Gregor Pottmeyer: 44:25 Yeah, thanks Ian. Obviously there is no reasons to believe that we’ll not come back to the levels we have already achieved here. So, no change from the business model here. So, the Q4 development of minus 12% was triggered by the volatility. I think, I mentioned that that the volatility stocks were 17% below previous year level here, and that's the unchanged main driver here. 44:57 And with regard to the developments for the next two to three years, I think we have a positive assumption here that if interest rates will be increased and we talked about it early on in this call and that’s a clear understanding that this will happen. And when this happened then also some confidence [indiscernible] economic recovery will happened. 45:21 So, as the 3%, 4% or 5% we will finally see, but there is a clear understanding that 2022 will be growth year compared to 2021 and 2023 will again be a growth year compared to 2022. So, coming back to our equity index product, so with that positive development obviously increase of off-rate. This increased recovery of the economy overall, there will be also an increase in market volatility, there will be an increase in the floors, so there will be more invested in Europe, compared to U.S. and that obviously would be a positive scenario or follow equity index product. 46:08 So, yes, we expect that equity index products will already call this year and even more, we will even see more cost one-year later.
Ian White: 46:20 Okay, thank you. Maybe if I could just follow-up, maybe to just put a bit more, kind of with some detail, I’m looking at the 4Q 2019 the [v-stocks] [ph], was at about 14 as an average you did 3.7 million ADV on equity indices, sort of fast forward two years 4Q 2021 the [indiscernible] is sort of 21 and the volumes are 3 million. I guess that's once I get my head around, has there been negative secular growth? Is there kind of – or is it some of these other dynamics that you mentioned about equity flows that you're thinking may lead to, sort of a stronger performance there please? That's where I'm trying to get my head around.
Theodor Weimer : 47:06 Yeah, I mean there obviously multiple factors right? So, the situation that equity markets have reached, sort of a very high valuation levels and are currently, sort of, not with a clear direction because it depends on monetary policies. I guess would be one factor, that differs to 2019, and then on top of that, I think it's also still fair to assume that the current working situation somehow has implications on how much risk appetite there is, how much risk limits the traders have and so on, but this is something we would also regard a temporary factor and once markets will be more volatile, once there is a clearer direction then we believe those volumes will also return.
Ian White: 47:56 Okay. Thanks for the detail. I appreciate that.
Operator: 48:00 The next question comes from Bruce Hamilton, Morgan Stanley. Please go ahead with a question.
Bruce Hamilton: 48:06 Hi, there, good afternoon. Thanks very much for the presentation and the Q&A. Obviously, it sounds like there's quite a lot of ways that revenues could be better in 2022, but I just want to – folks on the cost, so 2021 was 1.55 billion, I think to that I need to add about 30 million for a full-year effect of ISS and perhaps another 20 million for other M&A. So, if you grow cost at around 5%, should I be thinking about OpEx around kind of 1.68 billion or am I missing something? And then on the D&A side, adjusting for the one-off, I guess you're annualizing at about 305 million, is that a good run rate or should we expect there’s a slight upward impact from some of the recent deals or anything else just to make sure? Thank you.
Gregor Pottmeyer: 48:51 Yes, Bruce. Thanks for the question. So, with regard to the M&A, so your second question. So, out of this 600 million, what we guided from 2019, compared to 2023 so for the four year time horizon we already achieved more than 400 million euros. So, more than two-thirds are already done to [indiscernible] our guidance. And just from our perspective to confirm again that we will also deliver the last over the next 24 months. 49:28 So, we are confident to deliver on that side for our specific guidance for 2022 for the 3.8 billion, no additional M&A is included in that number. But again, it will happen in the next 150 million to 200 million latest until end of 2023. So, no change with regard to M&A. 49:53 With regard to your cost question, so, we do not give specific guidance for any specific cost number, but it's not too difficult to derive it for our overall numbers we gained. So, we gained the 3.8 billion and net revenue and we guide the 2.2 billion EBITDA. 50:20 So, as a [indiscernible] have to do some adjustments what is equity contribution from our financial investments and then you basically have our cost number. So, yes, in indeed there will be consolidation impact specifically in the first quarter, as you rightly mentioned the first two months of our ISS business. So, for the full-year, there's also consolidation impact orders of our discovery data business. There's also an impact of our crypto finance business as we’ve consolidated that for the full-year. 50:59 So, I would expect that that's roughly 50% of increase as related to M&A and consolidation. And we will continue with our prudent cost management. So as mentioned, we continue to do our continuous improvement process, where we cover all our inflationary pressure, so that's our target also for 2022. 51:25 And secondly, we have a contingency place in case and nowadays everybody expect tailwinds, obviously you're going to be [indiscernible] but if it would not happen, so we would be even prepared and have our contingency plan in the [indiscernible] and here we are how we executed that in 2021. Therefore, the cost management is, we continue to be important for Deutsche Börse management.
Theodor Weimer: 51:52 If I may add Bruce. In the year 2021, if I look at constant portfolio, on a constant portfolio base, right, we've hired some 400 plus people on constant portfolio. So, not on M&A front, and nevertheless, we achieved almost the flattish cost, right? So, we have hired enough people, we are pretty well equipped right and if necessary, we will go on the break.
Bruce Hamilton: 52:23 Yes. And so just below the line, I get all – that was all super useful. On the D&A, is the Q4 run rate adjusted to the one-off, so which would imply a, sort of annualized number of 205-ish million, is that a sensible number or would it be slightly higher because of deals impacting through 2022 or slightly lower for other factors? I'm just trying to check below the line items as well.
Gregor Pottmeyer: 52:49 Overall the D&A will go up and the reason for that is one, and we gave you the numbers that we said the PPA in Q4 increased to €26 million, so you can take this time [for] [ph]. And then therefore you can see out of the existing M&A. And so the PPA just increased by more than 10 million next year. Further, you can also assume continued increase of depreciation because we also have continued investment in the past. So, but I don't want to do the specific now.
Bruce Hamilton: 53:34 Thank you.
Operator: 53:37 The next question comes from Philip Middleton, Bank of America. Please go ahead with your question.
Philip Middleton: 53:42 Yes. Thank you. I just wondered somewhat following on from that. There's an awful lot of talk at the moment about rising inflation. From what you're saying, you're not really feeling particularly pressured by that, I just wonder if you could talk through that, why there’s sort of increased energy costs, you'll be seeing or probably some of the pressure on staff costs on to actually feeding through to your cost line?
Gregor Pottmeyer: 54:08 Yeah. So, thanks Philip. So, just starting with the cost. So, in our planning, so we have roughly at a 3% increase of our partner costs included, but on the other [indiscernible] of €1 billion, so but – with our continuous improvement versus we are able to compensate that. So, if we do not expect our surprises here on the cost side. So, the cost increase will have two reasons, the one we already discussed is consolidation of the business. 54:49 And the other is that these structurally invest in our business in people in IT and technology etcetera. So that's for our costs and nothing else and no surprises here. From a business perspective, I think the inflation and rate increases is very positive for us. We can be already liberated because we [indiscernible] fixed income product, with regard to our NII and it could even, if I look at that even the challenge and we have to look at that from our business perspective to even increase pricing. 55:31 So, you are aware that we say, look so roughly 5% of our secular growth, the bigger component obviously is around winning market share, additional liquidity and so on, but there’s still also opportunity where we analyze every year very carefully there is a chance to increase prices. So, we are currently evaluating that.
Philip Middleton: 55:59 Okay. Thank you.
Operator: 56:02 The next question comes from Jochen Schmitt, Metzler. Please go ahead with your question.
Jochen Schmitt: 56:07 Thank you. Good afternoon. I have a question on the digital central register, which you have introduced at Clearstream, could you provide some information how you perceive the interest of potential clients evolving with regard to this new service of by Clearstream? That's my question. Thank you.
Gregor Pottmeyer: 56:29 Okay, with regard to the digital and so that basically where we want to be front runner for our post-rating business, digitized all our processes is all our asset, and so general regulation changed here and so there's a good chance that 80% of our assets are digitized mid of this year, so we can use that with a much more efficient process for our customers. 56:59 We are – and in [principle] [ph] our idea is to create a Digital ESG and a Digital ICSD based on new technology and based on completely digitized assets. So, I think we are in net of the others here and in principle that obviously a superior solution, but what we are able to offer to our customers and we are convinced that this will support our cost.
Theodor Weimer: 57:25 It will cover Jochen the [bearer bonds] [ph], right, we use 80% of the market. So, the product what you in our [indiscernible] in Germany of the bearer bonds and the default business. Excluded is the traditional stocks business. So, the shares, the equities are excluded. And it's pretty clear that we are – that we have started with the warrants. We are starting with the warrants business, right? And it's too early to say how strong the demand is from the customers that's yet too early, right. 58:12 So, but it's very clear given the [electronic securities] [ph] what is in blades, right? We will move through it until the year 2025 fully.
Jochen Schmitt: 58:25 Thank you very much.
Operator: 58:28 And the last question comes from Martin Price, Jefferies. Please go ahead with question.
Martin Price: 58:33 Good afternoon. Thanks for taking my question. Is on investment fund services, back in November, I think you flagged a significant new client win in Australia, which you said that you'd expect to increase distribution assets this year. I was just wondering if you could provide an update on the assets you expect to onboard and what, sort of incremental revenue impacts we could expect in 2022? Thank you.
Gregor Pottmeyer: 59:01 So, these are – once you mentioned about [indiscernible] and traditionally we do not communicate and publish which customers [indiscernible], but you see with our 28% organic growth rate here there is a very long customer pipeline and there's a strong demand to connect to our platforms to do business on our distribution and this will continue to happen in 2022. 59:31 So, in both areas in Segment and Cassidy, also in the distribution areas, so any of our currently we win against our competitors, that's really great to see. And with regard to IFS we also think about to build up a third leg in the fuds data business. So, therefore, we think we would make sense to increase our capabilities also on that side. So far very positive on that side, because the customer pipeline is very long and we are able to deliver on that side.
Martin Price: 60:07 Okay. Understood. Thanks Gregor.
Operator: 60:08 And the next question comes from Andrew Coombs, Citi. Please go with your question.
Unidentified Analyst: 60:21 Hi, can you hear me?
Operator: 60:22 Yes.
Unidentified Analyst: 60:23 Yes. It's [indiscernible] from Citi. I just wanted to do the same exercise that Bruce did, but with the revenue line if possible? Because if you take the 2021 revenues, adjust for the 40 million funds and to gain, assume 5% structural growth and then go through the exercise of adding on two months of ISS, crypto finance discovery data, the 25 million to Regis TR on that, it does [indiscernible] just a little bit of cyclical growth, I think baked into your revenue guidance. And the majority of that structural growth in the M&A, does it mean you are assuming a little bit of cyclical growth? So, just wanted to clarify exactly where that cyclical growth is that you’ve got baked into numbers on the basis that you said, you've got nothing in higher fed rates, for example, and you seem to be alluding to generally a lot of upside on the cyclical side relative to what you're assuming? Thank you.
Gregor Pottmeyer: 61:29 Yeah. Thanks, [Andrew] [ph]. So, with regard to the revenues in 2022, I think we will continue to have at least 5% secular growth or that’s unchanged our target. So, currently, there roughly some 3% out of the consolidation impact of our businesses. What we already mentioned, yes, there are some one-offs in 2021, but obviously, we have to compensate in 2022 as you rightly said. But overall, I think the key question is, what happens around the cyclicality. 62:10 So with the 5% and 3% basically, we are there with our 8% cost to €3.8 billion, and so far you can see that there is some small tailwind what we included in our guidance and if the tailwind is bigger than obviously, we would over achieve the €3.8 billion.
Unidentified Analyst: 62:36 Thank you.
Jan Strecker: 62:38 Alright. Thank you for your participation today and the lively discussion. And looking forward to seeing you again, hopefully throughout the year. Thank you.
Theodor Weimer: 62:50 Thank you.